Operator: Good afternoon. My name is Faith, and I will be your conference operator today. At this time, I would like to welcome everyone to the Cambium Networks Third Quarter 2020 Financial Results Conference Call. [Operator Instructions] 
 Mr. Schuman, Senior Director of Investor & Industry Analyst Relations, you may begin your conference. 
Peter Schuman: Thank you, Faith. Welcome and thank you for joining us today for Cambium Networks' Third Quarter 2020 Financial Results Conference Call and welcome to all those joining by webcast. Atul Bhatnagar, our President and CEO; and Stephen Cumming, our CFO, are here for today's call.
 The financial results press release and CFO commentary referenced on this call are accessible on the Investor page of our website, and the press release has been submitted on Form 8-K with the SEC.
 A copy of today's prepared remarks will also be available on our Investor page at the conclusion of this call. 
 As a reminder, today's remarks, including those made during Q&A, will contain forward-looking statements about the company's outlook and expected performance. These statements are based on current expectations, forecasts and assumptions. Risks and uncertainties could cause actual results to differ materially.
 Except as required by law, Cambium Networks does not undertake any obligation to update or revise any forward-looking statements for any reason after the date of this presentation, whether as a result of new information, future developments, to conform these statements to actual results or make changes in Cambium's expectations or otherwise. It is Cambium Networks' policy not to reiterate our financial outlook. We encourage listeners to review the full list of risk factors included in the safe harbor statement in today's financial results press release.
 We will also reference both GAAP and non-GAAP financial measures and specifically note that all sequential and year-over-year comparisons reference non-GAAP numbers except where otherwise noted. A reconciliation of non-GAAP measures to GAAP is included in the appendix to today's financial results press release, which can be found on the Investor page of our website and in today's press release announcing our results. 
 Turning to the agenda. Cambium Networks' President and CEO, Atul Bhatnagar, will provide the key investment highlights for the quarter; and Stephen Cumming, Cambium Networks' CFO, will provide a recap of the financial results for the third quarter 2020, and he will provide our financial outlook for the fourth quarter 2020.
 Our prepared remarks will be followed by a Q&A session. I'd now like to turn the call over to Atul. 
Atul Bhatnagar: Thank you, Peter. Demand for broadband communications and infrastructure projects remain a priority  throughout the world driven by work, learn and play from home. Fixed wireless broadband is a critically important networking fabric to connect our local communities and for people around the world. COVID and the new 5G standards are accelerating that trend as we are reaching new customers and entering new markets demanding higher performance.
 Cambium Networks is now at the start of the era of end-to-end wireless speeds equivalent to data fiber. Our multi-gigabit wireless fabric, which can be controlled from a single pane of glass, can deliver fiber's performance and reliability at a fraction of the cost. During Q4, we will have both our new Wi-Fi 6- and 60-gigahertz millimeter wave multi-gigabit solutions available to customers, followed by our 5G 28-gigahertz products during the first half of 2021. 
 Millimeter wave solutions increased the serviceable available market, SAM, for Cambium as we enter urban markets with significant focus for the first time in the company's history, and wireless can now be extended to the edge of the network, where fiber could not go cost effectively.  With wireless solutions now on par with the speed of fiber, wireless is the new fiber. 
 Cambium's vision and foresight continues to include managing our technology portfolio with our cloud-based software, cnMaestro, our single pane of glass in the cloud. 
 The third quarter's results provide further proof of improved financial performance and marked the return to sequential and year-over-year growth. Cambium's significant new product introductions over the next several quarters will provide a catalyst to our financial results for many quarters into the future.
 Turning to the results of the third quarter 2020. We achieved revenues of $73 million, above the high end of our August 11 outlook of between $64 million to $67 million and right at the October 12 preliminary revenues of approximately $73 million. Non-GAAP diluted EPS of $0.29 also exceeded the high end of our August 11 outlook of $0.14 per diluted share. 
 We delivered another strong quarter with good execution by our entire Cambium team as we continue to work remotely during the COVID pandemic.
 We have strong product momentum across our different product lines. Within our Point-to-Multi-Point, PMP, business, we grew 7% sequentially and 12% year-over-year as we continued to see strong momentum with our CBRS solutions. The CBRS Priority Access License, or PAL, auction is now complete, and a sizable number of our customers have won licenses, which should have a positive impact on our PMP 450 business. 
 We are experiencing continued expansion of existing customers who are building out their networks as a result of winning the PAL auctions and increased customer demand; new installations from government funding, including the CARES Act and CAF II funding; as well as rip and replace of Chinese and other competitors' products. 
 Our PTP business improved 43% quarter-over-quarter and 12% year-over-year during the third quarter 2020, with rising demand for backhaul and a resurgence in our U.S. federal business. The enterprise cloud-based Wi-Fi business recovered strongly during Q3 2020, growing 30% sequentially due to the initial success of our new Wi-Fi 6 solutions at the start of a new upgrade cycle and recovery in EMEA due to the improved ability to deploy solutions as the region recovered from COVID shutdowns.
 Looking at some notable customer wins and new product developments. During Q3 '20, I'm pleased to report Cambium Networks continued to have several high-profile customer engagements. In North America, a major freight rail transportation provider has standardized on PMP 450, PTP 820, PTP 450 and has placed their first order for 60-gigahertz cnWave solutions. Cambium displaced a competitor's backhaul, and the customer will use our cnWave multi-gigabit wireless connectivity in the rail switch yard to replace their existing 5-gigahertz backhaul that supports video and Wi-Fi backhaul.
 They will use Cambium's cnReach narrowband solutions managed with cnMaestro to provide efficient communications, remote control of locomotives and collision prevention in their operating yards. 
 Vistabeam, a rapidly growing service provider in Nebraska, Wyoming and Colorado, selected Cambium's PMP 450m and ePMP 3000 as Connect America Fund II, or CAF II, winner with CARES Act funding. We displaced multiple competitors because of Cambium's massive multiuser MIMO technology. Our uptime and performance, reliability at right price point with our ePMP technology and upgraded performance of PMP 450m for more dense areas beat out the competition. 
 We had a high-profile win in the enterprise Wi-Fi space with Burke County schools in North Carolina.
 The school district has 27 schools and over 12,000 students. They selected Cambium's Wi-Fi 6 technology for our reliability and performance to connect a wide variety of tablets and notebooks across all K through 12 grades for streaming video across classrooms. 
 On past calls, we have spoken about the Federal Communications Commission's newly released 3.5-gigahertz CBRS spectrum. Cambium is a first mover with this technology with full end-to-end solutions, including high-performance radios over-the-air upgrade CBRS upgrades and cloud-based software solutions. 
 As of today's call, we now have approximately 58,750 devices managed by our CBRS SaaS service, an increase of approximately 148% sequentially. CBRS is driving new sales and allowing us to acquire new customers with our PMP 450 products in North America. 
 For example, InfoWest, a large service provider in Central and Southern Utah and recent FCC auction winner of CBRS' PAL spectrum, is rapidly deploying CBRS-enabled PMP 450m access point with cnMedusa technology on more than a dozen towers in Utah.
 The newly acquired frequency licenses will help InfoWest expand its reach and increase Internet speed and availability on their existing network. They selected Cambium for reliability, scalability, spectral efficiency and, of course, our CBRS capabilities. 
 A large service provider with deployments across 10 states selected Cambium for CBRS to replace a noncompliant 3-gigahertz solution. This customer has been a cambium customer in 5 gigahertz and licensed backhaul, but this represents a new line of business previously held by a manufacturer of mobile LTE. TCO, simplicity and superior performance were the key reasons Cambium was selected. 
 Europe, Middle East and Africa region, EMEA, we had a recovery in the enterprise Wi-Fi business as Europe began to recuperate from the impact of COVID in the region, although PMP was slightly softer sequentially after a strong second quarter 2020. A few strategic wins in EMEA from Q3 include, in Northern Italy in town of Bolzano, Cambium had a win at a new private hospital for our enterprise Wi-Fi using cnPilot. Every person or object that is needed to be tracked can be easily identified with a personal ID using Bluetooth tags within the hospital. Cambium was selected over a well-established competitor because of our versatility and ability to customize our firmware.
 In Africa, we had a win with one of the Africa's largest multinational mobile operators in Ghana. Cambium displaced a competitor and is positioned to provide our full portfolio of solutions, including PTP, PMP and Wi-Fi. This is our first win with this operator in Sub-Sahara Africa. 
 Also in Africa, a large service provider doing business in 18 countries selected Cambium Networks for projects in 4 different African countries with solutions, including backhaul, using our PTP 670 and various Point-to-Multi-Point solutions featuring both our PMP 450 and ePMP product families.
 In APAC region, in Nepal, Cambium Networks will power Wi-Fi for an estimated 1.5 million annual tourists in this country's high-altitude trekking circuits known as the Annapurna Circuit, the Manaslu Circuit and the Everest Circuit. These circuits encompass treks of nearly 1,000 miles across river valleys and high-reach passes. The entire Cambium Networks wireless fabric will be deployed to create long-distance RF connectivity using our ePMP, cnPilot Wi-Fi hotspots and our cnMatrix switches.
 The network will be cloud managed via our cnMaestro software. The service will be provided by Nepal Telecom Authority and commissioned by Cambium partners. 
 In Korea, the municipality office in Incheon city will deploy the latest Wi-Fi 6 technology with 200 access points from our Xirrus product line to enable multi-gigabit access at the edge.
 In Caribbean and Latin America, CALA, region, we had a record quarter with robust revenues due to the number of larger customer wins. A utility, the Itaipu Dam, a huge hydroelectric dam in the Paraná river between Paraguay and Brazil, was looking for a new backbone network in the country of Paraguay to link several natural reserves. After very exhaustive analysis, they selected Cambium Networks' PTP 820C equipment to link 9 sites to their network.
 AeroNet, a service provider in Puerto Rico, selected 60-gigahertz cnWave for multi-gigabit connectivity to a century-old wall city that lacked fiber connectivity. The Founder and President of AeroNet commented, "We chose Cambium Networks' 60-gigahertz cnWave equipment because of our solid experience with their fixed wireless access solutions over the past 18 years. With this platform in our network, we can serve more customers with dependable gigabit speeds in more areas." 
 Looking at new products launched since our previous quarterly update. In November, Cambium Networks will begin volume shipments of our highly anticipated 60-gigahertz cnWave gigabit fixed wireless solutions. This is our most important product release in many years, delivering gigabit wireless solutions for residential and enterprise access and backhaul for Wi-Fi or small cell markets. Our 60-gigahertz cnWave solutions feature Qualcomm 802.11ay silicon coupled with Facebook's Terragraph advanced machine technology and, of course, Cambium's proprietary RF and cloud algorithms. The total cost of ownership for the cnWave solution is approximately 40% less expensive than fiber to the home. We have already seen significant interest and many orders for this new technology, which will be increasingly relevant for urban use cases for many years to come.
 NextLink, a service provider in Texas, Oklahoma, Kansas and Nebraska, began trials of our new 60-gigahertz technology. NextLink's Chief Technology Officer commented, "In our field tests in Weatherford, Texas, we achieved close to 1.8 gigabit uplink and downlink speeds using Cambium's 60-gigahertz cnWave solution in a single-channel configuration. These speeds far exceed the performance we were able to achieve with previous variations of 60-gigahertz equipment. We are looking forward to the channel bonding capability, delivering even higher speeds."
 YTL Communications, a Malaysian telecom operator, has been working to help Malaysia close its digital divide using our 60-gigahertz cnWave solution for high-speed fixed broadband connectivity and public Wi-Fi in the George Town heritage area of Penang. YTL Communications is conducting a large-scale trial using Cambium technology to connect businesses and offices that had only copper or DSL connections formerly. 
 Cambium Networks is very excited about finally being able to provide fiber-like broadband performance and reliability at a fraction of the cost of fiber and expanding our SAM to urban markets. 
 Within our PTP product line, Cambium will be adding the industry's first 802.11ax or Wi-Fi 6-based product, the ePMP 425. This is a first in a cost-effective line of solutions targeted at the high-capacity enterprise point-to-point market for low-cost backhaul. This will be increasingly relevant for the Wi-Fi and the video surveillance backhaul market. The product will have availability in Q1 2021.
 Our next significant major product introduction will be the release of our 28-gigahertz 5G products for fixed wireless, which will be available during first half 2021. Cambium's 28-gigahertz 5G solutions will provide increased reach beyond the distances provided at 60 gigahertz, expanding the distance to approximately 5 kilometers in radius. Our 28-gigahertz solutions have very high throughput, featuring 8x8 massive MIMO driven by our smart antennas and native millimeter wave support.
 Cambium's 28-gigahertz radios will be simple to deploy and operate on our cnMaestro cloud platform. 
 As can be expected from Cambium Networks, our products will be high quality yet affordable. 5G will be an increasingly important driver for the industrial Internet of Things and high-speed access. Also, in licensed spectrum, before our next quarterly earnings call, Cambium Networks will release our next-generation fixed wireless broadband LTE platform, cnRanger, for 3-gigahertz spectrum following the release of 2 gigahertz earlier this year. CnRanger is an ideal solution for Internet service providers and industrial customers. 
 In late Q4, Cambium Networks expects to launch a new product within our cnVision product line. CnVision is our line of purpose-built wireless backhaul solutions using our proven Point-to-Multi-Point wireless technology and cnMaestro cloud management platform to serve the video surveillance market.
 This cnVision solution was created with the intention of being cost effective, scalable and providing predictable performance and security under adverse conditions to support the rapidly expanding outdoor video surveillance market. 
 Within our wireless, savvy cnMatrix switching portfolio, Cambium will launch our first hardened switching product targeted for wireless service providers, the cnMatrix TX family. The first new switch, the TX2020R-P, provides an enterprise-grade 2 and layer 3 switch, flexible and intelligent power Ethernet PoE and GPS-based timing synchronization all in 1 box. The switch is easily controlled by our cnMaestro end-to-end cloud management solution. 
 We continue to experience strong growth in accounts utilizing cnMaestro cloud software, our end-to-end cloud power connectivity solution, to manage the entire network from a single pane of glass. Total devices under cloud management in Q3 '20 totaled over 489,000, an increase of approximately 8% from Q2 '20 and up 47% year-over-year. 
 Towards the latter part of this year, we expect to offer a premium version of cnMaestro named cnMaestro X, which features 24/7 service with Level 2 engineers, up to 2 years of data retention, APIs and Webhooks for integrating with customers' back-end systems or third-party applications. cnMaestro X will be subscription based. 
 Turning to the channel. In Q3 '20, we expanded our channel presence by adding over 540 new channel partners sequentially and over 2,100 new channel partners year-over-year, which represents an increase of approximately 7% sequentially and 33% year-over-year. In the APAC region, we added a new distribution partner, RPT tech India (sic) [ RP tech India ]. RP tech India will offer Cambium's multi-gigabit wireless fabric of solutions to system integrators and solution providers focused on the SMB and enterprise verticals. RP tech has an extensive network of 50 branches, 50 service centers and direct reach in over 750 cities and towns. 
 Finally, our online marketing efforts have been exceptional despite COVID. For example, we recently held a partner event for the channel in EMEA. The event drew 1,255 registrants in 88 countries.
 We have adapted to effectively reach our channel partners in a very cost-efficient manner. 
 I will now turn the call over to Stephen for a review of our Q3 '20 financial results and outlook. 
Stephen Cumming: Thanks, Atul. Our record third quarter results reflect the increased demand for Cambium's high-quality fixed wireless and enterprise Wi-Fi products, the resilience of our partner community and strong demand for new Wi-Fi 6 products ahead of volume shipments during the fourth quarter of calendar 2020 and our 60-gigahertz products. 
 Record revenues of $73 million for Q3 '20 came in above the high end of our initial outlook of $64 million to $67 million and our revised outlook of approximately $73 million released on October 12. Revenues increased by 17% quarter-over-quarter and were higher by 11% year-over-year from $65.7 million.
 We had the first quarter in the company's history to break the $17 million threshold and are now driving both sequential and year-over-year growth. 
 On a sequential basis for Q3 '20, revenues were higher by $10.7 million or an increase of approximately 17%. The higher revenues were driven by our PMP products, which grew 7% quarter-over-quarter due to service providers scaling networks driven by requests for increased capacity and increased need for CBRS-compatible solutions. 
 In our Point-to-Point product lines, revenues improved 43% sequentially due to higher demand for backhaul and federal products. As predicted, we had a strong recovery in enterprise Wi-Fi solutions, which grew by 30% quarter-over-quarter, with increased shipments of our Wi-Fi 6 products and improved field deployments of Wi-Fi products, particularly in EMEA. 
 Looking at revenues by geography, North America represented 53% of company revenues compared to 52% during Q2 '20. North America had a record quarter with revenues growing 19% on a sequential basis driven by higher PMP, stronger PTP and increased Wi-Fi demand.
 EMEA, our second largest region, decreased 1% quarter-over-quarter and represented 28% of revenues during Q3 '20 and 33% of revenues during Q2 '20.  The slight decrease quarter-over-quarter in EMEA primarily reflects softer PMP revenues, offset by a recovery in enterprise Wi-Fi revenues.
 CALA had record revenues and represented 12% of sales during Q3 '20, growing by 96% quarter-over-quarter due to a broad-based revitalization in the region.
 APAC revenues grew 4% sequentially and represented 7% of revenues during Q3 '20, declining from 8% of revenues during Q2 '20, impacted by COVID-related lockdowns in the region.
 Looking at our gross margin. Non-GAAP gross margin of 49.7% increased by 100 basis points compared to Q3 '19. The year-over-year improvement in non-GAAP gross margin was a result of higher volumes, increased mix of higher-margin federal products, a richer mix of PMP products and the incentives put in place focused on cost reductions and supply chain efficiencies, partially offset by higher shipping costs. 
 On a sequential basis, non-GAAP gross margin in Q3 '20 was 50 basis points higher than Q2 '20. The higher quarter-over-quarter non-GAAP gross margin was the result of higher volumes, richer mix of higher-margin Wi-Fi and federal products, lower inventory reserves and key initiatives put in place focused on cost reductions and supply chain efficiencies, partially offset by higher shipping costs. 
 In Q3 '20, our non-GAAP gross profit dollars increased by $4.3 million to $36.2 million compared to the prior year and improved by $5.6 million sequentially. We continue to make progress towards our longer-term goal of achieving an annual non-GAAP gross margin target of 51% to 52%. 
 Non-GAAP operating expenses, research and development, sales and marketing, general administrative and depreciation and amortization in Q3 '20 decreased by $539,000 when compared to Q3 '19 and stood at $25.6 million or 35.1% of revenues. 
 When compared to Q2 '20, non-GAAP operating expenses increased by approximately $1.5 million. The majority of the year-over-year decrease in non-GAAP operating expenses was primarily driven by the benefit of our past restructuring activities as well as lower discretionary spending in sales and marketing expenses due to less travel and trade show expenses as a result of COVID. The quarter-over-quarter increase reflects the elimination of temporary company-wide salary reductions during Q3 '20. 
 Non-GAAP operating margin was 14.6%, up from 8.8% during Q3 '19 and increased from 10.4% of revenues in Q2 '20. 
 Adjusted EBITDA for Q3 '20 stood at a record $11.4 million or 15.6% of revenues compared to $6.8 million or 10.3% of revenues for Q3 '19 and up from $7.7 million or 12.3% of revenues for Q2 '20. 
 We had an excellent quarter of profitability and remain committed to driving our adjusted EBITDA expansion to our target model of 18% to 19% of revenues over the next few years. 
 Moving to cash flow. Cash flow provided by operating activities was $16.4 million for the third quarter 2020, primarily the result of increased profitability, improved collections as a result of better linearity of revenues, an increase in accounts payable of $5.2 million and continued reduction in inventories. This compared to $11.8 million cash used in operating activities for the third quarter of 2019 and a record $26.2 million for the second quarter of 2020.
 Non-GAAP net income for Q3 was a record $7.8 million or $0.29 per diluted share compared to $3.7 million or $0.15 per diluted share for Q3 '19 and non-GAAP net income of $4.3 million or $0.16 per diluted share for Q2 '20. The higher non-GAAP net income compared to the prior year period was due to higher revenues and gross margin and lower OpEx as a result of the benefits of our past restructuring, lower sales and marketing expenses and lower interest expense due to a reduction in long-term debt. The increase in non-GAAP net income compared to Q2 '20 was primarily attributable to higher revenues and gross margin as we efficiently scaled our business.
 Turning to the balance sheet. Cash totaled $50.1 million as of Q3 '20, an increase of $12.7 million from Q2 '20. The sequential increase in cash balance during Q3 '20 was primarily the result of improved earnings, strong cash collections resulting from improved linearity of revenues and an increase in accounts payable and a decrease in our inventories.
 Q3 '20 net receivables totaled $53.9 million, a decrease of $6 million from Q3 '19 and an increase of $2.6 million sequentially.
 Days sales outstanding for the third quarter stood at 58 days, a decrease of 15 days from the prior year and a decrease of 8 days from the second quarter 2020 as a result of strong collections and improved shipping linearity.
 In Q3 '20, days payroll outstanding stood at 58 days, an increase of 18 days from the third quarter of the prior year, which was abnormally low due to payments related to the timing of our initial public offering and up 1 day from the second quarter 2020. 
 We made excellent progress reducing our inventory dollars and days. Net inventories of $29.1 million in Q3 '20 decreased by $12.9 million year-over-year and were lower by $1 million from Q2 '20. Inventory days stood at an exceptional 73 days, down 37 days compared to Q3 '19 and down by 17 days from the end of June. Our intent is to keep inventory days within our target range of 80 to 90 days. 
 In summary, we remain focused and are making excellent progress on achieving our long-term target operating model by accelerating growth, gaining scale and improving our operational efficiency. Our balance sheet continued to strengthen with good cash generation, and we continue to have improved visibility into our business. 
 Moving to the fourth quarter of 2020 financial outlook. Please note that Cambium Networks' financial outlook does not include the potential impact of any possible future financial transactions, pending legal matters or other transactions. Accordingly, Cambium Networks only includes such items in our financial outlook to the extent they are reasonable. However, actual results may differ materially from the outlook. 
 Considering our current visibility as of November 5, 2020, our Q4 '20 financial outlook is expected to be as follows: revenues between $74 million to $78 million, non-GAAP gross margin between 49.2% to 50.2%, non-GAAP operating income between $9.3 million to $11 million, interest expense net of approximately $1.4 million, non-GAAP net income between $6.5 million to $7.6 million or between $0.24 and $0.28 per diluted share. 
 Adjusted EBITDA between $10.3 million to $11.9 million and adjusted EBITDA margin between 13.9% to 15.3%, non-GAAP effective tax rate of approximately 17% to 19% and approximately 27.6 million weighted average diluted shares outstanding. 
 Turning to our cash requirements, paydown of debt, $2.5 million; cash flow interest expense, approximately $0.9 million; and capital expenditures of between $1.3 million to $1.7 million. 
 I'll now turn the call back to Atul for some closing remarks. 
Atul Bhatnagar: While we are very pleased with the third quarter results and improved outlook as we enter the fourth quarter, we will not rest on our past success, and we'll continue to strive to achieve our goal of long-term top line growth in the mid-teens and adjusted EBITDA in the upper teens as a percentage of revenues. 
 The top line is achievable through the introduction of new gigabit wireless products such as enterprise Wi-Fi 6, 60-gigahertz and 28-gigahertz millimeter wave solutions for the 5G fixed wireless and the continued adoption of CBRS-compatible solutions.
 Our bottom line will benefit from increased scale in our business and continuing to judiciously manage our costs. 
 Our balance sheet is healthy and continues to improve. We had another good quarter of cash generation, and we remain excellent stewards of capital. 
 Cambium Networks is very well positioned as a gigabit wireless leader to win based on the superior value derived from our proven, high-performance, high-quality and affordable products, providing end-to-end wireless connectivity managed by our cloud-based cnMaestro solution and matching end-to-end speeds of fiber. 
 Wireless is the new fiber. Cambium Networks remains excited to support the next round of the Connect America funding, the Rural Digital Opportunity Fund, which is currently being evaluated by the FCC for committing $20.4 billion in funding over the next 10 years to bring high-speed broadband service to millions of unserved Americans. High-quality, resilient Cambium solutions stand to gain substantially from the RDOF initiative. 
 Finally, I would like to thank our employees, partners and customers for the outstanding results and continued excellence during our journey in these unprecedented times. 
 This concludes our prepared remarks. So with that, I would like to turn the call over to Faith and begin the Q&A session. 
Operator: Your first question is from Scott Searle from ROTH Capital. 
Scott Searle: Very nice job, guys and despite the fact that it's very early days for the new product portfolio. So very nice to see the results there and the outlook.
 If I could specifically jump into the outlook of the $74 million to $78 million. Can you kind of take us through the thought process in terms of the sequential progression of each of the different product lines? In particular, Point-to-Point has historically been lumpy. Is this at more sustained levels in the current time? 
 And also, kind of wondering, within 60 gigahertz, how big that pipeline and portfolio is in terms of dollars and opportunities. And I would assume that it brings not only bundled opportunities but also larger dollars in general to the table as you start to get down into it with various customers. 
Atul Bhatnagar: Yes. Scott, thank you. Thank you for your comments. Let me address some of the things you asked. 
 Yes, PTP will -- PTP always remains a little lumpy because defense business does impact PTP positively. So I think that does remain a little lumpy. But it is showing its strength in general because secular drivers are really going for more backhaul resurgence because as networks are going for higher-speed access, you have to also upgrade the backhaul. So I think PTP will benefit from that trend.
 In terms of the growth as we are going into Q4 and 2021, Wi-Fi 6 will continue to strengthen. I think customers are accelerating transition to Wi-Fi 6. 60 gigahertz has a very deep funnel, very strong funnel, and good, broad global traction because it is a breakthrough technology. So not only are we seeing good POCs, but we also see some new segments emerging for us. We touched briefly about urban connectivity. We touched about some of the backhaul possibilities for small cell markets, video surveillance, high speed. So I think we're also finding new applications. As a result, funnel is good, deep and wide.
 So overall, good confidence as we go into Q4. And I would also let maybe Stephen make some comments as well. 
Stephen Cumming: Yes. Scott, just to give you a little bit of color in terms of the sequential growth rates we're seeing and how we came up with our guidance, which is at the midpoint was -- is up 4% sequentially. 
 So PMP, we expect that product line to grow in the mid-teens. And we're really seeing continued strength there in our service providers, which, by the way, as you probably know, is our largest end market, and they're continuing to scale their networks due to increased capacity from their customers being put upon them. And also, their customers are changing their habits as they're moving into more rural areas and looking for more and more reliable connectivity.
 The work-from-home and the educate-from-home, people really want consistent connectivity, and they don't want any spotty performance. And I think Cambium is  performing well there in that area. 
 And PTP, as Atul mentioned, we'll see that decrease in the teens, probably the higher teens. And remember, that's coming off a very strong Q3, especially with the federal business, which is seasonally strong in Q3 in particular in North America. 
 And then from a Wi-Fi perspective, we see that to be low to mid-single-digits up sequentially. We're obviously [ recent ] in terms of what's happening in EMEA with so many lockdowns over there. Having said that, North America is pretty strong and helping offset things there.
 So I hope that gives you enough color for the guidance. 
Operator: Your next question is from Tim Savageaux from Northland Capital. 
Timothy Savageaux: Maybe just following on that topic. As you look at that pretty strong growth for your largest segment and PMP forecast for Q4, is there a material contribution from 60 gigahertz in there, I guess, first question? And then is there any geographic bias to the service provider growth that you're seeing? And I'll follow-up from there. 
Atul Bhatnagar: No problem. So Q4, 60 gigahertz is still in early deployments, POCs, trials. And I think on the past calls, I have said there's a very well-defined life cycle in our business. Every product line we create is reasonably sophisticated. So it takes customers a good, I would say, 3 months, 4 months to do trials, POCs, get to know lay of the land, understand the wireless characteristics, noise characteristics, environmental characteristics. So my sense is Q4 we, will -- there will be some contribution by 60 gigahertz, but we are in that phase.
 Acceleration of 60 gigahertz in terms of revenue starts when those POCs multiply into real deployments. And that will run now for a couple of years because once they get the confidence that this multi-gigabit technology is going to give them next-generation architecture, then a lot of things is seen in the access. So I think 2021, but you will see some contribution. 
 And what we are very excited about is that customers are seeing 1.8 gigabit, 1.7 gigabit, that type of throughput, breakthrough throughput speeds and feeds. So actually, their excitement is ratcheting up. 
 Geography-wise, I think Stephen kind of commented as well we see strong North America. Europe, there are some lockdowns, so we'll see how that pans out. But overall still, people still need connectivity, and people are figuring out how to work in the COVID environment. So while these lockdowns are there, I think the world is figuring how to work in that situation.
 At CALA, we talked about a fantastic record quarter in Q3. Good, broad-based acceleration. 
 And Asia is improving, but that definitely is a region which we think will do better and better as lockdowns finish there. So that's kind of geographically where we are. 
Stephen Cumming: Yes. And just to add, just some of the numbers. As Atul mentioned, CALA was a really strong quarter for us. In fact, it was a record quarter for that region. We expect that sort of to maintain that pace. It's going to be, I would say, flattish sequentially for CALA. 
 And then for Southeast Asia -- we've touched on the other regions, but Southeast Asia, clearly a region that's been impacted substantially by COVID. And so we see that up mid- -- I would say mid-single digits as things start to open up a little bit over there. 
Timothy Savageaux: Great. And if I could follow-up. You mentioned the RDOF process kind of later in your commentary. I wonder if you could -- as the auctions kind of get going here, if you're getting any more visibility as to the magnitude of the opportunity for Cambium and also the timing of that having an impact. A lot of suppliers who are kind of working on the fiber side of this are looking for perhaps mid-'21 to start seeing at least some ramp in activity. I'd be interested in your perspective on that. 
Atul Bhatnagar: Yes. I think when it comes to RDOF, my sense is that late '21, early '22 is when things will start and then they will run for next good 7 to 10 years. And it'll be a kind of normal distribution. It'll start small and then it'll accelerate. And then last maybe 3, 4 years, it'll start to -- it starts to become much less investment. 
 It will definitely provide Cambium -- and these are just guesstimates. It'll definitely provide Cambium, I would say, possibly, possibly good, incremental revenue because not -- the $20.3-odd billion is not just all wireless. There's wireline, there's backhaul, there's switching infrastructure, lots of things. But I would say hundreds of millions of dollars will come towards PMP and some of the products we -- in terms of category, not that all of that is Cambium. But in terms of the category.
 So I think we are pretty excited. 
 And let me make one more important point. Government initiatives demand very good measurements and proof that you did deliver that performance. So anyone offering solutions which are not manageable, which are not -- which don't have statistics, where you can't pull very meaningful numbers for each subscriber properly, it's very difficult to collect that money. So I think when we talk to our customers, they love Cambium solutions because with our cnMaestro, they are able to pull things together. If they have other reporting infrastructure, we interface with that. So I think the quality separates very well as these -- as the government initiatives become more sophisticated. So that's some of the benefit, I think, we see, that our solutions are mission critical and enterprise class and they differentiate very well. 
Timothy Savageaux: Great. Congrats on the quarter and yes, hundreds of millions is a good answer. 
Atul Bhatnagar: Thank you. 
Stephen Cumming: Thank you. 
Timothy Savageaux: Congrats again. 
Operator: Your next question is from Simon Leopold from Raymond James. 
W. Chiu: This is Victor in for Simon. Can you help us understand how impactful the upside is that you're seeing from service provider capacity constraints? And maybe, how should we think about the sustainability from this pandemic tailwind, if you will? 
Atul Bhatnagar: So we are seeing very good acceleration on the Tier 2, Tier 3 service providers worldwide. And I think in the past as well, I've said that some of these so-called Tier 2, Tier 3 service providers worldwide -- I mean, in many countries, they are Tier 1 service providers. But on a global scale, I still put them as Tier 2, Tier 3 service providers. They are entrepreneurial. They're innovative. They're adopting new technologies to disrupt their own countries' connecting infrastructure.
 We see them accelerating. And if you take last, I would say, 2 to 3 quarters, we are seeing good adoption of new technology. So when you look at 60 gigahertz, some of the early adopters are those challengers, right? So I think that will continue. 
 And in terms of capacity, I think by and large, what we're seeing is that service providers have adjusted. They have figured out a way to work in this pandemic situation with isolation and all sorts of precautions. So we are not seeing that as a major constraint, at least as of now, in our customer base.
 So I think overall, we feel pretty good in terms of that side of the business accelerating. And it's global. It's not just one country. We see that whether it's CALA, whether it's EMEA, whether it's North America. We see Tier 2, Tier 3 bodes well for our business. 
Stephen Cumming: Simon, I'd just add that I think the work-from-home dynamic is just raising the profile and really accelerating continuing for better and better connectivity that we will need so much. And with Cambium's quality and performance, that's really allowing us to get into the driving seat. So we don't see it as a -- any sort of real temporary pull forward demand. We think this is continuing as those service providers continue to want to improve their networks and add more and more capacity as people's working habits change in this environment. 
Operator: Your next question is from Rod Hall from Goldman Sachs. 
Roderick Hall: Yes. I guess I'd just come back to growth in '21. And I know that you guys are targeting mid-teens growth. I just wonder if you could walk us through -- do you think you can achieve that next year given the uncertainty in the environment? If you do think you can achieve it, how do you get there? Is it PMP mainly? Is it -- what is the thing that would drive that? And what are some of the risks like the puts and takes around growth next year? 
Stephen Cumming: Yes. Maybe I'll lead off, Rod and then I'll let Atul come in with some -- a little bit of color. 
 I mean a simple fact at this point in time is we're not really giving any sort of forecast at this point in time understandably for 2021 just given the uncertainty with COVID and macro environment, election uncertainty. There are so many macro issues. We're just going into another lockdown in multiple countries and some regions. So there's a lot of unknowns out there. We'll certainly provide an update when we go through Q4 earnings call. We feel good about the business as we go into our '20 earnings call. 
 I think just at a very high level, we feel good about the business as we go into 2021. We think there are multiple drivers, multiple secular drivers both in terms of the need for more bandwidth, the success we're having in CBRS, the technology transition into new products like Wi-Fi 6 and 60 gigahertz, and then the expansion of our enterprise Wi-Fi business. And then as we go into 2021 first half, the release of our -- or introduction of our 28 gigahertz product. 
 So the product and investment-wise, we look solid. And I think it's just the macro environment that would cause us pause to give any sort of guidance at this point in time. 
 Atul, I think you want to add more? 
Atul Bhatnagar: So let's look at the fundamentals, right? In these type of situations, you have to always go back to fundamentals. 
 The drivers are quality broadband is lifeline globally. Work, education, play from home is driving the demand. And this is not going to die down anytime soon. This is going to run for probably multiple quarters. 
 Third key driver is, when people are looking for next-generation architecture, they don't buy legacy stuff. And Cambium has been investing, innovating for multiple years. The products we are introducing right now, we can see 1.5 years back. So if we had not invested properly, we wouldn't be here.
 And the last key point I'll make is 5G is also going to arrive towards the -- for our markets, fixed 5G, and we will be ready whether it's 28 gigahertz, whether it's integrating 60 gigahertz into that as a high-speed access. So we feel good about where we are as our wireless fabric. 
 And then our strategy is innovate, offer fantastic quality and have superior execution. Those are the 3 things that has been our -- last 4, 5 quarters, that's what we are focused on because you can have great innovation, you can have great quality, but if the execution is not there, you don't deliver results. So I think those are the things which give us confidence that even as macro throws the challenges, I think we're well positioned. 
Roderick Hall: So do you -- it is a very difficult environment. And you guys have executed well, and your stock reflects that. But one of the things that we should be watching for one way or the other in terms of as leading indicators that, hey, growth is really coming through for this company, it's going to be better than we thought or, well, there are some environmental challenges. Maybe the companies find the products are fine, but there are environmental challenges that are going to make it tougher to grow in '21. I mean what are you guys looking at? I'm just kind of curious about that. 
Atul Bhatnagar: Overall, as we look at what we offer in solutions, that has become almost like a utility. That has become like a lifeline. So we see that in the new products we are introducing. And in the fact, what is amazing is, things we are showing, still new products haven't really kicked in. Wi-Fi 6 is the only one we have had now for about 2 quarters. 60 gigahertz comes Q4. And then 28 gigahertz comes on, overlay first half. And that gives us a very potent lineup. 
 So as service -- as I said earlier, service providers particularly worldwide have figured a way. They've got to deliver that performance, scale, reliability of that lifeline, broadband lifeline. And the more digitization automation happens as a result of COVID, the more networks become -- the wireless networks become the glue. 
 So we feel that secular drivers are there. All we have to do is make sure we execute well, remain humble, remain closer to customers, listen to them.
 And those are the things we do. 
Operator: Your next question is from George Iwanyc from Oppenheimer. 
George Iwanyc: So Atul, just following up on your comment about the new products kicking in, the 60 gigahertz, 28 gigahertz, in the first half of next year. Is there likely enough demand in the first half of the year to offset normal seasonality? Or should we still look for a bit of a seasonal decline in the first quarter? 
Atul Bhatnagar: I think the new products will give us a little incremental wind. There's always some seasonality because weather in Q1 plays a role. Colder climates means people don't climb the towers much. But we also have enterprise. If enterprise keeps coming back the way it is, it kind of nullifies that a little bit.
 So I would say there could be seasonality, but I think the new products will make a good dent. That's kind of where our thinking is unless Stephen wants to add something. 
Stephen Cumming: Yes. I mean it's just the unknown in terms of the other offsets, right? So, I mean, I know what you're trying to get to in terms of how we start the year. I think that the unknown is what really happens with continuation of COVID and sort of these are the macro issues that we'll face. So tough to sort of give you any sort of color as to do we think it's going to -- our Q1 number historically has sort of been 0 to flattish to up 5% in Q1. It's tough to call whether we'd be any better or worse than that at this point in time. 
George Iwanyc: All right. And Stephen, just kind of following up on the environment. From an OpEx standpoint, do you feel you're at a level that you can drive the sales and marketing that you need and invest in growth? Or do you feel you'll need to step up a bit as you move into 2021? 
Stephen Cumming: Yes. So I think there's a -- I think in general, we are going to make investments. They're going to be very targeted investments. We'd be very careful about that as we have over this year so far. And remember, we went through some restructuring exercises where we really did align our cost structure. 
 I think the point to note as you go into next year is we've somewhat benefited from what I would say are some maybe temporary cost discretionary items that are lower. Like T&E, for instance, like travel and expenses overall are down for us as they are for many companies. Nobody is really traveling or getting on flights very much. And so when you look to model that for next year, I mean, that -- our expectation is if things start to free up in certain regions, there will be some sort of increase there. It may not get back to the levels that we had operated in pre-COVID, but we do expect an increase. 
 I think also, we now sort of found the formula of handling sort of a lot of virtual online marketing events, and Atul mentioned that in his prepared remarks. And now we found that formula, we want to sort of really drive that and make better use. So you're going to see a little bit of an increase there.
 So I think those are the sorts of things where you'll find us putting investments. Obviously, we've continued to invest heavily as a company in R&D, and that's why we've had so much tremendous success in a lot of our new products. And again, we'll be doing that very selectively as we go into 2021. 
Atul Bhatnagar: Yes. I think what you'll see us do is judiciously, carefully rifle-shoot those investments where we need to. And COVID has given us a lot of good lessons. And to be frank, COVID was a stochastic shock to all of us in terms of doing things in a very different manner. And without COVID, we probably wouldn't have done this as aggressively and we'll -- actually, we will take those lessons and apply them in the future. 
 So you will not see us go back to the old ways of doing things. You will see us being pretty judicious with expenses. We will invest very carefully where we have to for the future. And I think you're seeing that, what we have done. 
 We worked on CBRS. We started work on CBRS 3 years back. While we are seeing great success now, what people forget is how early Cambium bet on those things.
 We started investing in 60 gigahertz 2 years back. And some of those quarters were tough quarters for us, but we stayed with that. And now we are going to benefit because we have fantastic differentiation.
 And these are very sophisticated products you can't build in 1 or 2 quarters. It takes 18 months to 2 years to pull that quality. So we feel good where we are. 
Operator: Your next question is from Jon Lopez from Vertical. 
Jonathan Lopez: Can you guys hear me okay? 
Stephen Cumming: Yes. 
Atul Bhatnagar: Yes. 
Jonathan Lopez: Good. So my first question -- I apologize, I've been kind of hopping on and off, but I think I heard you guys say Point-to-Multi-Point calendar Q4, kind of up mid-teens quarter-to-quarter. Did I have that right? 
Stephen Cumming: That's right. That's right, Jon. 
Jonathan Lopez: Okay. Great. And I guess one of the questions I wanted to ask you is, just given second-wave concerns and inventory issues, I'm just wondering how you're seeing activity in the channel. Like in other words, do you feel like the channel is trying to put some extra inventory in place ahead of 2021? Or does this feel more consistent with interior demand? 
Stephen Cumming: Yes. I would actually say, Jon, the latter with -- and there may be some slight nuances depending on the region. But I would say generally, they're sort of keeping the whole sell-in that we're moving into distributors with the sell-through on to their end customers. So it's somewhat in unison. 
 I think the -- maybe in Europe, in EMEA, which we normally see each year, is they tend to reduce a bit of their inventory given some of the tax consequences they incur on what they hold at the end of the year. So I would probably expect in EMEA that there'll be a little bit of inventory drain there. But I think every other region is probably going to match their sell-in number. 
Jonathan Lopez: Perfect. 
Atul Bhatnagar: So Jon, let me just add one more comment. 
Jonathan Lopez: Please, please. 
Atul Bhatnagar: Yes. I think, my -- in March, April, May, in that first wave, I was actually concerned how the entire thing will shake out. I think even if there's a second wave, I'm less concerned because I think service providers have really figured out how to make things happen, how to work. Even if there's a temporary kind of shock to the system, I think service providers are delivering a mission-critical connectivity. So compared to March, April, May, I'm a lot more confident that even with a second wave, I think things will be all right. 
Jonathan Lopez: Got you. That's really helpful. My second question is, I'm just wondering if you could talk a bit about CBRS. And I guess the question I want to ask is, I mean, my recollection was it was maybe the second, third week of October when the expiration flipped. So I'm assuming that you guys -- for all the systems that were available, you've had the SaaS flip.
 I'm wondering if there's extended opportunity on the back of that. And then, I guess, more importantly, are you seeing an uptick in 450s essentially now that the spectrum auctions are set and people are starting to execute against that -- those investments? 
Atul Bhatnagar: Yes. Answer is yes. So CBRS, first, maybe month or 2 was more again, POCs, making sure SaaS service is working, making sure over-the-air upgrades are working well, end-to-end performance is good. All that is behind us. We have customers, as we've said, north of 50,000 subscribers now upgraded. So yes, 450 3-gigahertz business is seeing uptick.
 And I think another good thing is there are a lot of countries in the world watching what's going on with the CBRS in U.S. So we also are getting interest from some countries to see what can they do because spectrum control from the cloud is a big deal. It's pretty sophisticated. So we also anticipate, I think, over the next 2 years or so these type of algorithms will influence Wi-Fi 6G, 6-gigahertz Wi-Fi, which is coming down the pike. 
 So I think the expertise we are picking up here bodes very well for the future way of frequency management. So yes, 450 will benefit, but so will  probably some of the other parts of our business as well as Wi-Fi 6G. 
Jonathan Lopez: Got you. If I could just sneak one last one in. I apologize. I think one of the things that's kind of impressed me this year is, you guys -- I feel like I have these numbers right. I think you added the most channel partners this quarter than you have all year. And that's kind of despite all the friction -- COVID-related friction that everybody has had to deal with. So I suppose my question is, what's kind of allowing you to continue to get new partners on board? Are you bumping into that friction? And are you starting to see perhaps some pull just given the breadth of the portfolio, some products that perhaps competitors don't have, maybe even 1 or 2 competitors that maybe are perhaps distracted or a little dysfunctional? Can you maybe just talk about that? And any opportunity to continue that activity in 2021? 
Atul Bhatnagar: Yes. So overall, I think we have a much different stature in the industry because we've delivered on so many good things as part of the Cambium wireless fabric. It's not just PMP, it's not just PTP. We have delivered LTE, we have delivered Wi-Fi, we are delivering switching and all managed from a single pane of glass, CBRS, 3 gigahertz, again part of the fabric management. 
 So I think the customers and the channel partners are finding that, that fabric is reliable, affordable, gives them opportunity to really create a lot of different applications. 
 We are seeing pull, there's no question. The number of new customers we are adding every quarter right now is probably the strongest we have ever been. So we are definitely seeing the pull. We are seeing a stronger brand. Our channel conferences in different regions are showing attendance, which is all-time record attendance. So all good. 
 Anything, Stephen, you want to add? 
Stephen Cumming: No. I would just say that we've added machinery in place with our inside sales organization to effectively onboard partners, and I think that's certainly helping in this sort of virtual environment and effectively bringing on these new partners pretty effective pretty quickly and then being able to train them with our online tools. 
Operator: I'm showing no further questions at this time. I would now like to turn the conference back to you, Mr. Schuman. 
Peter Schuman: Thank you, Faith. During Q4 '20, Cambium Networks will be meeting virtually with investors at the JMP Securities Small Cap Tech Forum on Tuesday, November 10; Wednesday, November 11 at the ROTH Capital Virtual Technology event; the Needham Virtual Security, Networking & Communications Conference on Tuesday, November 17; on Tuesday, December 8 at the Raymond James Virtual Technology Conference; and finally on Tuesday, December 15 at the Oppenheimer 5G Summit. In the meantime, you're always welcome to contact our Investor Relations department at (847) 264-2188 with any questions that arise.
 Thank you for joining us, and this concludes today's call. 
Operator: Ladies and gentlemen, that concludes today's call [indiscernible] earnings call. Thank you for your participation. You may now log off.